Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ryerson's Second Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Jeff Horwitz, with Ryerson Investor Relations, you may begin your conference.
Jeff Horwitz: Good morning. Thank you for joining Ryerson Holding Corporation's second quarter 2018 earnings call. I'm here this morning with Eddie Lehner, Ryerson's President and Chief Executive Officer; and our Chief Financial Officer, Erich Schnaufer. Kevin Richardson and Mike Burbach, our two North American Regional Presidents, will be joining us for Q&A. Before we get started, let me remind you that certain comments we make on this call contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from those implied by the forward-looking statements. Such risks and uncertainties include, but are not limited to, those set forth under risk factors in our annual report on Form 10-K for the year ended December 31, 2017. You are cautioned not to place undue reliance on these forward-looking statements, which speaks only as of the date they are made and are not guarantees of future performance. In addition, our remarks today refer to several non-GAAP financial measures that are intended to supplement but not substitute for the most directly comparable GAAP measures. A reconciliation of the non-GAAP financial measures discussed on today's call to the most directly comparable GAAP measures is provided in our second quarter 2018 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. I'll now turn the call over to Eddie.
Eddie Lehner: Thank you, Jeff. And thank you all for joining us this morning. I want to start today by thanking our customers, the opportunity to serve them as we continually strive to create ever-better customer experiences. Next, I want to thank my Ryerson teammates for outstanding execution throughout the second quarter as we posted our strongest operating results in quite some time and welcome our Central Steel & Wire colleagues to the Ryerson family as we closed the Central Steel & Wire acquisition on July 2, 2018. We hold great optimism that our two organizations working together will deliver the best of both companies to the benefit of our current and future customers. From a financial and operating perspective, the company increased shipments, expanded margins, generated improved expense leverage and managed net working capital assets with excellent efficiency, all while working safer as an organization. This is indicative of what Ryerson does and can do in a relatively good industry environment with an unwavering customer-centric focus. Turning to the current economic environment, conditions were more favorable in the second quarter of 2018 compared to both the first quarter of 2018 and second quarter of 2017. With higher metal commodity prices and improved industrial demand conditions, as an industry price drivers for carbon and aluminum products are the highest in the decade, while price drivers for stainless products still trailed those of 2014. From a demand perspective, the U.S. industrial economy continued to improve incrementally. North American industry volume growth as measured by the MSCI increased 4.3% in the first half of 2018 compared to the prior year period. After industry shipments declined approximately 15% in 2015 and 2016, compared to 2014 levels, the industry has clawed back approximately two-thirds or 10% of that fallen demand in 2017 and less far in 2018. As a company, Ryerson outperformed industry volume growth with North American ton shipped up 5% in the first six months of 2018, while expanding gross margins, excluding LIFO to 21.7%. Turning now to end markets, Ryerson showed sequential quarterly growth in nearly all end markets, most notably commercial ground transportation, consumer durable equipment and construction equipment sectors. Ryerson also experienced quarterly year-over-year growth in nearly all end markets driven by growth in commercial ground transportation, consumer durable and oil and gas sectors. For the six months of 2018, we continue to see encouraging signs for almost all of our key end markets, most notably commercial ground transportation with significantly higher truck build rates year-over-year and the oil and gas industry with U.S. rig counts up more than 10% in June 2018 compared to the prior year period. In July 2018, Ryerson completed the acquisition of Central Steel & Wire company, a metal service center with a valued brand standing more than 100 years. Central Steel & Wire offers a wide selection of products and capabilities centered on bar, tube, plate and sheet products, and will continue to operate under its own brand name within the Ryerson network of service centers. Central Steel & Wire has approximately 900 employees and has annual revenue of approximately $600 million. The addition of Central Steel & Wire will enhance our combined commercial, processing, and operational strengths to provide a greater depth and breadth of products and services for our customers. Looking towards the second half of the year, we remain positive on demand conditions in the U.S. for the remainder of 2018, as economic indicators remain strong in the manufacturing economy. The U.S. industrial production index, as measured by the Federal Reserve, has remained elevated through June registering year-over-year monthly growth of 3% percent or more since February 2018. Trade policy continue to impact import levels, which are 10% lower in the first half of 2018 compared to the prior year period as reported by the U.S. Census Bureau. We believe Ryerson's strong and enduring relationships with our domestic supply base will continue providing supply chain continuity for our customers. With that, I'll turn the call over to Erich, who will discuss the highlights of our second quarter 2018 financial performance.
Erich Schnaufer: Thanks, Eddie and good morning. Ryerson's performance exceptionally well in the quarter taking advantage of strong pricing and demand conditions, to generated adjusted EBITDA excluding LIFO in excess of $100 million for the first time since the third quarter of 2008. Second quarter 2018 revenues were $1.1 billion, an increase of $181.7 million or 20.8% compared to the second quarter of 2017, with increased prices and higher tons shipped. Sequentially, sales were $115.8 million or 12.3% higher with average selling prices up 8.8% and tons shipped up 3.2%, in line with our expectations of 2% to 4% growth that we discussed on our first quarter 2018 conference call. Net income attributable to Ryerson Holding Corporation was $17.5 million or $0.46 per diluted share in second quarter of 2018 compared to $10.4 million or $0.28 per diluted share in the prior quarter and $0.6 million or $0.02 per diluted share in the second quarter of 2017. Ryerson more than doubled our adjusted EBITDA excluding LIFO in the second quarter of 2018 to $106.6 million compared to $51.5 million in the second quarter of 2017. Second quarter adjusted EBITDA excluding LIFO was over 70% higher in the first quarter of 2018 results of $52.2 million. Ryerson's gross margin was 17.5% for the second quarter of 2018, consistent with the first quarter of 2018 and up from 16% for the year ago period. Included in cost of materials sold, was LIFO expense of $43.9 million for the current quarter, $13.3 million for the prior quarter and $14.2 million in the second quarter of 2017. Ryerson achieved gross margin excluding LIFO of 21.7% during the quarter compared to 18.9% in the first quarter of 2018 and 17.7% in the year ago period. We continue to improve our expense leverage metrics as warehousing, delivery, selling general and administrative expenses as a percentage of sales declined to 13.1% during the quarter, which compares favorably to 13.8% in the first quarter of 2018 and 13.5% in the second quarter of 2017. Turning to the year-to-date results, revenues for the first six months of 2018 were $2 billion, up 18.3% from the first six months of 2017, as average selling prices increased to 12.3% and tons shipped increased 5.3%. Gross margins decreased by 30 basis points in the first six months of 2018 compared to the prior year period as the average cost of material sold was up $173 per ton. However, gross margins excluding LIFO rose 180 basis points to 20.4% in the first six months of 2018 as average costs rose by $132 per ton, as compared to average selling prices which grew by $204 per ton. Net income attributable to Ryerson Holding Corporation increased to $27.9 million or $0.74 per diluted share in the first six months of 2018 compared to $15.4 million or $0.41 per diluted share for the same period of 2017. Adjusted EBITDA excluding LIFO increased 60% to $168.8 million in the first six months of 2018 compared to $105.8 million in the first six months of 2017. Ryerson's equity increased to $21.2 million at June 30, 2018 from an equity deficit of $7.4 million as of December 31, 2017, as we continue to solidify our balance sheet. We held 71 inventory days of supply in the second quarter of 2018, well within the company's target range of 70 to 75 days. We maintained ample liquidity during the period as borrowings were $385 million on our primary revolving credit facility with additional availability of $363 million as of June 30, 2018. Including cash, marketable securities and availability from foreign sources, our total liquidity increased to $414 million as of June 30, 2018 compared to $381 million as of March 31, 2018. Ryerson used $17.9 million of cash for operating activities in the first six months of 2018 driven by higher valued inventory and receivables compared to year end. In the first six months of 2017, cash used in operating activities was $81.5 million. Now, I'll turn the call back over to Eddie to conclude.
Eddie Lehner: Thanks Erich. So, far in 2018, we have seen price and demand factors improve as compared to the prior year. This much is obviously. More than anything, it reflects a down payment on the investment required to maintain, replace and create new categories of long-life assets to drive productivity growth, modernize infrastructure and raise living standards across the broader economy. Ryerson continues to rise up to meet those opportunities as evidence by our results and plans for the future centered on an intelligent network of service center assets providing great customer experiences with exceptional consistency. We thank all of our stakeholders for the opportunity to compete in the marketplace while improving every day with mission, passion and purpose. With that, let's open the call to your questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Seth Rosenfeld from Jefferies. Your line is open.
Seth Rosenfeld: Can you spend a bit of time telling us a little bit more about the outlook for Central Steel & Wire? I assume there is a little bit of disclosure in the release today, but can you tell us a bit more about the expected impact on volumes and most notably margins going in second half, following integration and any commentary with regard to synergies and also improvements in consolidated procurement will be very helpful to hear.
Eddie Lehner: Hey, Seth, this is Eddie. I don't think we're going to bust out the bottle today. But we're off to a really a great start. We acquired them on July 2, so we've got one month under our wings and we're off to a great start and we're really excited to be working with our Central colleague shoulder to shoulder and we'll back to you in future quarters. But I will ask Mike Burbach to elaborate.
Mike Burbach: Thanks Eddie and hi Seth. Yeah, I think Eddie is right, one month into the merger and I'll tell you that the first month has been a good month. The interactions we've had with the people and with customers, there is a lot of opportunity there and as I look at things, you know we're going to seek ways to leverage the best of both companies. And if you look at their history of strong service levels and loyal customer bases and combine that with the good work that Ryerson has been working on the last few years, we're optimistic and excited that we'll be able to use the best of both and move the ball forward. But we'll have more in future quarters.
Erich Schnaufer: And Seth this is Erich. Just one thing to think about is to take a look at where Ryerson's historical financial metrics are. Our expense metrics as well as our working capital metrics, and what we're going to do is we're going to apply our metrics that we achieve on the Ryerson side to Central's financial results as well and so, they will begin to converge towards the level that we can achieve.
Seth Rosenfeld: Just about on the time I guess, can you give us any timeline for when you think that conversion could happen recognizing there might be historically a pretty wide gap?
Erich Schnaufer: Yes. I mean look. We have a three year runway and we'll be coming back in future quarters and we'll update you on our progress. But we're one month in and we're off to a great start.
Operator: Our next question comes from the line of Joel Tiss from BMO Capital Markets. Your line is open.
Joel Tiss: So, you just gave us a little quick thumbnail of some of the end markets, but I wondered if you could spend a little more time just kind of running through some of the plusses and minuses and we're starting get a little like a couple of June fiscal companies you are guiding for you know kind of the forward 12 months, I don't know any sort of conversations or any sense you have about deceleration, not so much in the second half, but as we get deeper into the recovery or just kind of flavor you're hearing from your customers. Thanks.
Eddie Lehner: Yeah, Joel sure. So, I'll go ahead and I'll give a preamble and then I will kick it over to Mike and Kevin. So, far so good. I think what we've learned over the last I don't know how many years is – you can't really look too far ahead with any really great clarity or certainty. If we look at the metrics that are the in the market now, certainly lagging metrics, even current metrics, even the last PMI which came down a lilted bit to 58% from 60%. Everything is still green light and go. That said, there will be a seasonal effect like there typically is in our industry. And I think there has been a lot of discussion around how much pre-buying was there, how much were backlogs elongated because of component shortages and labor bottlenecks and transportation bottleneck. So, while we're sorting through those things, we're working on a good year incrementally for demand following a better year incrementally in 2017 and for the balance of the year things look pretty good from this – from this purview. But I'll ask Mike and Kevin to give you some more color.
Kevin Richardson: Joel, it's Kevin Richardson. What Eddie says is exactly right, for the balance of what we can see into this year, things look strong. I would say the one theme that definitely has developed in almost all end markets is tight labor markets and some constraints related to that, and as well as transportation. But in terms of foreseeable backlog, it's actually pretty strong going into Q3 and for the balance of the year. So, the notable exceptions as Eddie pointed out in the opening comments is ground transportation looks like it's going to finish up wherever the Class 8 truck market up about 20% relative to last year and then the energy markets continue to strengthen and with rig count up 10%, so those would be the two standouts and then the other end markets that we see right now are kind of in line with what the overall MSCI industry is which is that kind of 4% range. But things feel good out there for the back half of the year.
Joel Tiss: Then can you just take a step back and give us an update on the percent of the process product that you guys have as a percent of total revenues, and what the Central Steel & Wire does for that – for that overall metric?
Eddie Lehner: Sure Joel. I mean, we – most of our process product is cut to length and we – the cut bar and the burnt plate and then the complex fab has gone up as a percentage. So, I would say company-wide we're solidly above 80%. So, when you take – cut the length plus that value add piece of long and plate in complex fab, we're solidly above 80% now, and the complex fab piece is growing, so we're pleased about that. Central adds a lot in the mix side, because we look at central's mix, they are more weighted to bar and tube and plate as a percentage of their overall product, and that was one of the – that was one of several attractions of many attractions between Ryerson and Central and our interest in Central. So, we like the mix and we see a lot of synergies around how we get product processed throughout that combined footprint and network. Kevin and Mike, anything to add?
Mike Burbach: Eddie no. Hi Joel. I think you said it right Eddie. The Central addition to our offering is highly attractive thinking about the mix and some of the capabilities just nice complement to what's already in place. So, they process products very similar to ours and in the sense they cut the length and the process plates and bars, but the content of what they sell be in heavier concentrations of the long products and big products is a nice addition.
Kevin Richardson: Joel, this is Kevin. One of the things that we are – one of the things that we are seeing is some of our customers ramp up is trying to variablize their cost structure and outsource some of the first stage and second stage processing which obviously fits nicely for the acquisitions that we made and also some of the internal CapEx that we've deployed.
Operator: Our next question comes from the line of Phil Gibbs from KeyBanc. Your line is open.
Phil Gibbs : Eddie just had a question more so you know on the business environment I think there has been a lot of talk of at least on this call so far about bottlenecks and tight transportation and labor. What are you all doing as a company, or what can you do as a company to alleviate some of those things in terms of some of the transport headwinds and some of the labor headwinds, and how have you been creative as an organization to try to thrive in this environment?
Eddie Lehner: Yes, Phil. So, let me give you two specific things and it really – I think it really embodies how we continue to rise up. So, on the transportation side, one of the things you can do in this type of transportation environment is, create visibility of your loads. So, whatever units are out there, whatever incremental common carrier units are out there in addition to3PL units that we control, our company trackers and trailers with our drivers where we have a more controlled transportation environment, when you are going to get that common carrier population, one of the things that really helped us when you can look ahead 24 to 48 hours and you can give dispatchers that work for those on behalf of those transportation units, give those dispatcher's visibility. So, it's incumbent on us then to go ahead and queue that load ahead of time even build sort of straw man loads where they can look in and try to get visibility knowing they can position a unit to come and pick it up and take it to a customer. So, visibility becomes really important, because you've got driver hour restrictions where you've gone from 14 hours to 11 hours. You have electronic logs with mandated breaks. So, everybody is working within an environment where the economy got better, transportation got tighter, but the rules also changed. And so, you use analytics and information more and more in your enterprise to get visibly on the those loads and give dispatchers more time to position their trackers and trailers to minimize empty miles. That's one example. The other example is where we have the ability through our network to roll over bottlenecks, so if we're bottlenecked in one warehouse, we can canvas a multi-market, we can canvas more of our geographies and we have the systems in place and we have the culture in place. The culture is very important where we have a very cooperative culture, so we're able to take lead times that might stretch from 5 to 10 days in one place, and cut them in half by shifting processing to another Ryerson location and that actually helps us balance out. That actually helps us balance out capacity, balance out demand, it helps balance out schedules and its overall a good thing for Ryerson. So, I've asked Mike and Kevin to augment that, but that's – those are two concrete examples that you can use to understand how we are navigating the current environment.
Kevin Richardson: Phil, this is Kevin Richardson. The only thing that I would add on the transportation front is most of our customer deliveries are either on our own company drivers are there on dedicated fleets where we've got contractual obligations, and so we have control of the delivery side. What Eddie just described in terms of having go out and buy spot capacity for supplemental loads is correct, but on a relative basis were in pretty good shape in terms of being able to control our own fleet.
Mike Burbach: Phil, this is Mike Burbach. I was going to follow up on Eddie's comment about our network. As I look at Ryerson in the way we've configured the company with our locations are connected with technology. We have pretty good information out there to quickly address any sort of bottlenecks capacity constraints what not. So labor is tight, but this gives us flexibility to shift work and take care of customers and keep it seamless from what our customers might be seen from some other folks. So we are pretty well position to move forward to these challenging times and continued to give the service to our customers are looking for.
Eddie Lehner: And Phil, I have to say I'd be remiss if I didn't tip my hat to our operational teams in the field. They've just done an outstanding job, really can't say enough good things about that level of teamwork cooperation and just can't do to get products to our customers, I think in really a great way.
Phil Gibbs: Okay. That's great. I appreciate all the color from the team. As we look out into the third quarter, you guys obviously have a lot going on with trying to integrate Central and just with all the volatility and some catch up in costs. And just trying to think about how we look at margins when we integrate everything call it, at this point in time what it's call your LIFO gross margin because just trying to figure out how much presume expense we should bake in. How we should think about those margins heading into the third quarter because obviously sales will still continue to be very strong. I am trying also to embed the impact from Central.
Eddie Lehner: So I'll start and Erich will give you an update on where we think we might come in for LIFO. I mean we are still – obviously we are still going through a process of consolidation with Central and understanding their business metrics more and more. But I would say, the way the team is broken it down looks like seasonal performance with respect to shipments from Q2 to Q3 with better demand year-over-year, prices up 1% to 3%, looks like in terms of what we can see right now. And we are still seeing cost to goods sold increases come through as replacement costs becomes average cost over a 65 to 75 day period. So some margin normalization, but Q3 from where we are seeing right now, I mean looks pretty good.
Erich Schnaufer: As far as LIFO goes, at this point where prices are through July expect LIFO expanse for the third quarter to be somewhere in the area of about $30 million.
Phil Gibbs: Okay. That's helpful. And then my last question and I appreciate all the color. How should we be thinking about working capital into the back half? 4Q usually are pretty strong flush for you all but, should we anticipate that net working capital will pick up a little bit more some of his replacement costs get into the company? Thanks.
Eddie Lehner: Yeah, Phil. So I think in the second half of the year we expect to have less of the use of cash as we go from Q3 to Q4 which would be the expectation would be consistent with tradition. I do think that the cycle of that occurring is stretched out just given how price increases seem to be having more legs than maybe we would have thought three months ago. So with prices still rising, maybe we don't get as much of that in Q3 as we have in past years, but I think by Q4 we expect to have less of the use of working capital and we still expect to generate cash in the second half of the year, but I'll let Erich expand on that.
Erich Schnaufer: So definitely in the last half of the year, we would expect to throw off cash. The question as Eddie had mentioned is whether or not we begin to generate cash in Q3 or if all that's going to be back end loaded into the fourth quarter, but on balance as a whole, we'll be generating cash in the last half of the year.
Eddie Lehner: I mean if you look at our LIFO estimates which granted, I mean it's the best we can do I mean at a point in time. But if you look at our LIFO estimates going from 43 to 30, you'd expect price increases to plateau and then slowly reached that inflection and start to retrace a little bit as we move into Q4 just by virtue of how we are looking at what LIFO was in Q2 and we are estimating for Q3.
Phil Gibbs: All right. Thanks everyone.
Eddie Lehner: Sure.
Operator: [Operator Instructions] Our next question comes from the line of Aldo Mazzaferro from Mazzaferro Research. Your line is often.
Aldo Mazzaferro: Good morning.
Eddie Lehner: Aldo, good morning. How are you?
Aldo Mazzaferro: I am doing well. Thanks Eddie. In terms of the market itself in August, I think we are seeing counter seasonal strength and things like the scrap market and steel I think. And we are also getting this issue of slab imports being less available in some of the mills that we rely on and that be stemming from issues on supplier loops. So my question to you is, do you see it as counter seasonally strong now? And does that imply that as we get into September, October, November, we are going to see increasing tightness versus where we are today? And secondly, how do you see the slab issue? Do you see that as a risk on your end that you may not see as much supply availability or do you see as an opportunity for yourselves?
Eddie Lehner: Aldo, can I tell you there are so many conflicting and contrasting predictions for the back half of the year in terms of availability and how tight it's going to be, how tight isn't it going to be? I think the prevailing majority opinion three months ago was we are going to see real tightening May through August. And I don't think that tightening really surfaced in the May through August timeframe. If you look at imports and where they've gone since an April peak of 3.2 million tons and they came down to 2.5 and then came down to 2.2. We are looking for one more month to make a trend and I think if we see that trend where imports are down three months in a row. The arithmetic would tell you that there is going to be a tightening and I am going to ask Mike and Kevin to illuminate further. Aluminum looks like it's going to be tight even though LME aluminum and the ingot price has really come down even below its midpoint between high and low. This year it looks like aluminum is going to stay tight. Stainless is relatively available. Even though I think there is – I mean stainless is relatively strong, but I think there is more availability around stainless. On the carbon side, it remains to be seen how tight that's going to be. Really don't know how much more domestic capacity is going to come into the market vis-a-vis maybe Granite City or big river or some of the other players that have come online with new capacity. How much more the other mills are going to bring to market. Just to compensate what isn't being imported. And then on the slab side, again it remains to be seen. First of all, the slab producers are going to continue to pay the tariff whether they're going to get a carve out or an exemption. But that feels more like a 2019 event as far as the slab mills are concerned and what they finally decide to do or what they feel they're being compelled to do. So I think on the carbon side, there is still a question mark as to how tight that gets. But if these important numbers continue the way they've evolved over the last two months and we get to a third and fourth month and import levels come down to 2 million tons per month. I think the arithmetic tells you that it's going to be a tighter market for our supply.
Mike Burbach: Aldo, this is Mike Burbach. I think Eddie hit the high points correctly and I would agree with him on his product-by-product assessments. There are some areas that are probably tighter than others as he pointed out. I think there are clearly are some issues with common alloy aluminum sheet that supply will be constrained and it is currently constrained. That probably is at the top end of the list. Carbon plate appears to be in a tighter position more so rather than less. But some of the other products we have, we can get products and a lot of that has to do with the fact that we have a long history and a great relationship with domestic producers. So, as we look at some of the challenges in this fluid situation, we're really pretty well positioned to navigate through these choppy waters, and this is something that we have regular conversations with our customers about lot of questions out there about what's going to happen here and there and you know lot of our large OEMs are more concerned about continued supply and availability and with our relationships domestically, we feel pretty good about our position. But we watch this very closely and it's – and I think Eddie is right, there could be some nuances with the – another month or two of reduced imports with some other products and dynamics could shift, but we're well positioned to deal with it.
Kevin Richardson: I was just going to say just one more thing on aluminum, because the 232 tariffs get the headlines for all three commodity groups. But when you look at what's really happening in aluminum, it's the countervailing anti-dumping duties that had the biggest impact on the supply side, because that effectively took China out of the market earlier this year and those final determinations are set to be established in October, but it looks like, and it's 200% plus type tariffs on some of the mills in China. So, that's the supply that has really dried up. And the other thing to take note in terms of those countervailing anti-dumping duties, once those are set, that's a five year term. So, where 232s could swing on any – in relatively short notice. The way that the aluminum market has been set up on the supply side is different than carbon and stainless.
Eddie Lehner: Aldo, whatever comes our way, whatever comes our way, what I'm most proud of is we get better and better as an organization every day. So Ryerson's the new Black Brother.
Aldo Mazzaferro: I'm looking forward to hearing more about the CS&W when you guys get more – releasing more data, but can you confirm the price you paid was 140, I know when you announced it, versus $600 million in revenue and there was a quote that said normal working capital would be included in that 140. In my opinion, you know number of capital could be 15% to 20% of sales. I'm wondering is that a ballpark estimate that might be on target, but working capital was ballpark $100 million or so?
Eddie Lehner: Aldo, Here is what I would say – as I would say that you know it wound up being a – about 168, because we acquired more working capital in the transaction and that was a good thing. So, it was very good from a liquidity perspective for Ryerson at the close and more to come on that, but we were certainly pleased with how that turned out.
Aldo Mazzaferro: And then, so, on the first quarter reports when you come in with your weaker numbers. You are going to have to write that inventory higher I think right form the accounting point of view and – unless you want to comment on that, but would that – still to book the accounting ones?
Erich Schnaufer: Yes, Aldo, this is Erich. I mean as far as the inventory goes, they are on LIFO and their LIFO reserve was in excess of $100 million, so there is going to be $150 million write up of inventory from their historical balance sheet.
Operator: We have no further questions in queue. I'll turn the call back to the presenters for closing remarks.
Eddie Lehner: We appreciate your continued support and interest in Ryerson. We look forward to talking with you again next quarter.